Company Representatives: Adam Sheparski - President, Chief Executive Officer Susan Wood - Chief Financial Officer
Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to Acadian Timber Third Quarter 2022 Analysts Conference Call. At this time all participants are in listen-only mode. After the speaker’s presentation there’ll be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference may be recorded.  I would now like to hand the conference over to your speaker host today, Susan Wood, Chief Financial Officer. Please go ahead.
Susan Wood: Thank you, operator. Good afternoon, everyone, and welcome to Acadian Timber’s third quarter conference call. With me on the call today is Adam Sheparski, Acadian’s President and Chief Executive Officer. Before discussing Acadian’s results, I will first remind everyone that in discussing our third quarter financial and operating performance, the outlook for the remainder of 2022 and responding to your questions, we may make forward-looking statements.  These statements are subject to known and unknown risks, and future results may differ materially. For further information on our known risk factors, I encourage you to review our news release and MD&A, which are available on SEDAR or on our website at www.acadiantimber.com. I’ll begin by outlining our financial highlights for the third quarter ended September 24, 2022. Then Adam will comment on our operations, market conditions and outlook for the remainder of the year.  During the third quarter, Acadian benefited from continued strong demand for its products. Volumes were lower as compared to the same quarter of 2021 as a result of limited contractor availability, but the lower volumes were substantially offset by stronger prices across all products, excluding biomass. Sales for the third quarter were $23.6 million, compared to $24.5 million in the prior year period.  Sales volume, excluding biomass, decreased 15% compared to the prior year period, primarily as a result of the limited contractor availability. Weighted average selling price, excluding biomass, increased 11% year-over-year, benefiting from strong sawlog prices and improved pulpwood prices driven by strong demand as well as the partial recovery of rising fuel costs from our customers. Operating costs of $19.2 million in the quarter were $0.3 million lower than the prior year reflecting lower harvesting and timber services activity, offset by higher contractor costs and fuel prices. These higher costs drove a 14% increase in weighted average variable costs as compared to the prior year period.  Adjusted EBITDA totaled $4.5 million during the quarter compared to $5.4 million in the prior period. Adjusted EBITDA margin for the quarter was 19% compared to 22% in the prior year period. Our net income for the third quarter was $4.8 million compared to $0.3 million in the prior year period. The variance in net income was primarily the result of lower operating income and gains on sales of timberlands, offset by higher fair value adjustments as compared to the prior year period and changes in the noncash, unrealized foreign exchange loss on long-term debt. Acadian generated $3.3 million of free cash flow and declared dividends of $4.9 million to our shareholders during the quarter or $0.29 per share. I’ll now move into the third quarter results for our New Brunswick operations. Sales for our New Brunswick Timberlands were $19.9 million compared to $19.3 million during the prior year period. Sales volume, excluding biomass, decreased by 5%, primarily due to limited contractor availability in the current period. Operating costs in the third quarter totaled $15.4 million compared to $15 million in the prior year period.  The increase in operating costs is a result of higher contractor costs and fuel prices offset by lower harvesting activity and timber services activity. Weighted average variable cost per cubic meter increased 14% as compared to the prior year as a result of these higher costs. New Brunswick’s adjusted EBITDA in the quarter was $4.6 million compared to $4.4 million in the prior year period. Adjusted EBITDA margin was 23%, which is consistent with the prior year.  Switching over to Maine. Sales during the third quarter totaled $3.7 million compared to $5.2 million in the same period last year. Sales volume, excluding biomass, decreased 42% also reflecting limited contractor availability in the current year period. The weighted average selling price, excluding biomass, in U.S. dollar terms increased 14% compared to the prior year with higher prices across all products benefiting from favorable market dynamics as well as fuel cost recovery from customers. In Canadian dollar terms, prices increased 19%.  Operating costs totaled $3.5 million in the quarter compared to $4.2 million during the same period last year, primarily due to lower harvesting activity, offset by higher contractor costs and fuel prices. Weighted average variable costs, excluding biomass, increased 25% as compared to the prior year period. Adjusted EBITDA for the quarter was $0.2 million compared to $1.3 million in the prior year period and adjusted EBITDA margin was 6% compared to 26% in the prior year period, primarily due to lower harvesting activity.  With respect to Acadian’s financial position, it remains strong ending the third quarter with a net liquidity position of $17.1 million including a cash balance of $3.8 million and our revolving credit facilities, which remain undrawn. Our second dividend with the DRIP in place occurred during the quarter and contributed $1.1 million to our liquidity. With that, I’ll now turn the call over to Adam.
Adam Sheparski: Thank you, Susan. Acadian remains committed to health and safety as our number one priority. During the quarter, we experienced two recordable safety incidents among our contractors and none among our employees. These individuals have made full recoveries and have returned to work.  As we have said before, we believe that emphasizing and achieving an excellent safety record is a leading indicator of success in the broader business. Acadian generated solid financial results for the third quarter despite the challenges posed by increasing costs and limited contractor availability that Susan mentioned.  Though the greater economic outlook is uncertain and although harvest levels have been below our target so far this year, Acadian has experienced steady regional demand and increased pricing for its key products, which we expect to continue for the remainder of the year and into fiscal 2023.  This demand should allow for increased harvesting activity through the winter months and we will continue to actively, working with our contractors to increase deliveries for the remainder of the year. I would like to say the limited trucking and harvesting contractor availability was unexpected and due to a number of factors, and at the Acadian Timber team continues to work hard at onboarding new contractors with multiple additions during the fourth quarter in time for the winter harvesting season. Switching over to our third quarter results. We were very pleased that overall pricing for softwood sawlogs and softwood pulpwood increased 14% and 12% respectively, compared to the prior year period.  In New Brunswick, although demand for softwood sawlogs remained strong, sales volume decreased by 14% due to limited trucking contractor availability. As previously mentioned last quarter, there is an increase in regional demand for softwood pulpwood, resulting in volume increases from 4,000 cubic meters to 24,000 cubic meters compared to the prior year period.  In Maine, limited harvesting contractor availability resulted in softwood sawlog volumes decreasing by 49% as compared to the prior year and softwood pulpwood volumes decreased by 21%, although these volumes are relatively modest. We continue to experience solid demand for our hardwood sawlogs, which combined with our continued merchandising efforts, has resulted in hardwood sawlog price increasing 18% overall, compared to the prior year. However, hardwood sawlog volumes in New Brunswick and Maine decreased 15% and 62% respectively, being negatively impacted by the limited contractor availability.  Hardwood pulpwood sales volume decreased by 21% to New Brunswick and by 31% in Maine compared to the prior year period. However, demand has strengthened and due to reduced harvesting throughout the region, prices increased in New Brunswick by 20% and 21% in Maine.  Biomass sales volumes were down 21% compared to the prior year period however, market conditions continued to improve during the quarter with pricing increasing by 17% year-over-year allowing us to begin increasing shipments to our customers.  Turning now to our outlook. As we have all witnessed, there continues to be a fair amount of uncertainty in the North American economy. With interest rates rising as well as housing sales and price growth slowing, consensus forecast has been lowered to approximately 1.55 million U.S. housing starts in 2022 and 1.4 million in 2023 as compared to 1.6 million in 2021. These estimates however, are still above historical levels.  Accordingly, we remain confident that the stability of the Northeast forestry sector combined with the long-term demand for new homes and repair and remodel activity will support the demand for and pricing of our products. We’re likely to decelerate, inflation is expected to remain a challenge in the near term and to continue to exert pressure on our financial results through the increased contract rates and fuel surcharges that we pay our contractors.  The recovery of the incremental costs from our customers beginning in the second quarter is expected to continue to mitigate some of this impact and the team continues to work with our customers to ensure we pass through these costs increases as quickly as possible.  Although softwood lumber pricing has decreased from its historic levels, demand for softwood sawlogs remained stable in the regions in which Acadian operates, and therefore, strong pricing is expected through the remainder of the year. As noted previously, the implementation of a new Crown timber royalty rate system, as announced by the province of New Brunswick will not have an immediate or direct impact to Acadian’s net earnings, however, the new system may impact future market prices and in turn, the prices obtained by Acadian for products from its freehold timberlands going forward. As we exit the third quarter, end use hardwood markets remained stable throughout the Northeast, and as such, demand and pricing for high grade hardwood sawlogs are also expected to remain steady as we close out 2022. Hardwood and softwood pulpwood markets has continued improving and we expect it to remain at elevated levels throughout the remainder of 2022 and into 2023. Finally, the work to develop the forest carbon credit inventory has continued and the initial model for the project has been completed. As we disclosed back in September, 1.6 million credits have been estimated on a preliminary basis over a 10 year reporting period. The 713,000 of these credits are expected to be registered on the American carbon registry in the fourth quarter of 2022. Preliminary credit volumes have been submitted to third party verifiers, who are auditing the model. Accordingly, the final issued volumes could vary from the estimates presented. The impact to Acadian’s financial results, is subject to the successful marketing of the credits and to the timing of and prices obtained from contracts negotiated with third parties, which are not yet in place.  However, there is the potential for sales to be realized immediately following successful registration, which as I just mentioned, is expected in the fourth quarter. In closing, we look forward to finishing the year with an increased contractor base and solid financial and operating performance, supported by our strong balance sheet, increasingly diverse markets and a highly capable and dedicated team. We will continue actively working with our current and potential new contractors to build deliveries to our customers for the remainder of the year in the winter harvest season.  While we make improvements throughout the business to maximize cash flows from our existing timberland assets, we continue to explore strategic opportunities to grow for our shareholders. With that, we are now available to take your questions Operator.
Operator: Thank you. [Operator Instructions] Our first question is coming from the line of Hamir Patel with CIBC.
Hamir Patel: Hey! Good afternoon! Adam, I was wondering if you could give us maybe more sense as to the impact so far that you're seeing after the province changed, the stumpage rates, and when you might expect a more meaningful impact in your own realizations?
Adam Sheparski: Yes, hi Hamir! Interestingly enough, there was an expectation that the rates were going to come in back in April. Actually the province moved that time frame to the first of September and so we haven't seen much of an impact as of right now.  As I think we mentioned on previous calls, it has to be a time – I suspect a little bit of time before we'll start seeing it on our results. You know prices for Crown wood will have to come up and then obviously the other called freehold either from private wood lots or from other freehold land owners will then probably come up at the same time. So I would expect you know probably in the next six to 12 months we'll start to feel that significantly I would expect Hamir.
Hamir Patel: Okay, great. Thanks Adam, that's helpful. And then just I wanted to turn to the sort of potential growth opportunities. Are you seeing more acquisition opportunities on your radar and how have discount rates for timberlands changed over the past year?
Adam Sheparski: I would say that we're starting to hear more opportunities come up or the potential I guess for opportunities to come up. You know nothing specifically other than we're expecting that to happen, and I would also expect to see discount rates probably starting to come up here as well.
Hamir Patel: Great! That’s all I had. Thanks Adam.
Adam Sheparski: Thanks Hamir.
Operator: Thank you. [Operator Instructions] Our next question coming from the line of – one moment please. Paul Quinn with RBC, your line is open.
Paul Quinn: Yeah, thanks very much. Good morning! Sorry, I got on the call late, but just wondering whether your long-run sustainable yield has changed and why you know '22 harvest levels is so much below that?
Adam Sheparski: Yes, so Paul we updated the first management plant for New Brunswick a couple of years ago, which adjusted in the long run. It didn't decrease it. It just adjusted it upwards actually depending on the products. Then we're in the process of updating our forest management plan for Maine and so that will be coming out over the next, call it three to six months, and it will be in the annual information Paul when it comes out in the spring.  There is room between our allowable harvest rates and what we're harvesting right now. You know I think that's probably one of the – it's a frustrating point for us given the markets that we're in. They are so solid right now, but that's in my remarks – you know we're hoping to be able to get contractors in place and increase those harvesting rates to meet the customer demands that we're currently facing.
Paul Quinn: Okay, so it's really around that point that you brought out its own contractor availability, but you see a way to clear that hurdle in the next couple of years?
Adam Sheparski: Yeah, hopefully not a couple of years, but yes. Yes, hopefully over the next year or so.
Paul Quinn: Okay, then what's happening around your biomass harvest? Is that going into something else? I mean historically that was always around 20,000 cubic meters a year and now it's only five or six. Just wondering what's the drop-off and lot?
Adam Sheparski: Yes historically, and I would go back a few years Paul, the biomass is created by a certain processor that we have you know a delimer. So there was an initial step down years ago in the amount of biomass that is produced. Currently what you're seeing is a situation where we're not prepared to sell at a rate that we're not making a sufficient margin. And so because there is significant cost associated with transportation for biomass, we were delaying shipments until you know just during Q3. So we don't really see it impacting in Q3, but customers have started to increase their prices and therefore we're starting to increase our shipments associated with biomass.
Paul Quinn: Okay. And then just lastly, you probably addressed this, but I wasn't on the call, but just the amount of carbon, I think you stated that you've got so many credits and you have to get a bunch of credits over the next 10 years. You've registered at Q4 '22. When do you realize that after that? What type of values are we talking about?
Adam Sheparski: Sorry, when do we realize it from an accounting perspective or what are your...
Paul Quinn: When do you get the cash? I don't really care about accounting. When do you get it?
Adam Sheparski: You said recognize and you had me confused. I didn't think – so the cash would come shortly thereafter. Once the credits are sold, I think you're talking 30 to 60 days that we would expect collection.
Paul Quinn: And what types of value are we talking?
Adam Sheparski: Yeah, so we didn’t give guidance as far as values Paul. I would answer the question the same way that I answered in the previous quarters. You know we're in the mid to high 20’s, but we understand the current rate for carbon credits right now.
Paul Quinn: Okay. Good, that’s all I had. Thanks.
Adam Sheparski: Great! Thanks Paul.
Operator: Thank you. I am showing no further questions at this time. I would now like to turn the call back over to Mr. Adam Sheparski for any closing remarks.
Adam Sheparski: Thank you, operator. On behalf of the Board and management of Acadian, I would like to thank all of our shareholders for their ongoing support. Thank you, stay safe and we look forward to you joining us for our fourth quarter conference call on February 9. Goodbye!
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.